Operator: Please stand by, we're about to begin. Good day, and welcome to the Steve Madden Third Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jean Fontana of ICR. You may begin.
Jean Fontana - ICR LLC: Thank you. Good morning, everyone. Thank you for joining us today for the discussion of Steve Madden's third quarter 2016 earnings results. Before we begin, I would like to remind you that statements made on this call that are not statements of historical fact constitute forward-looking statements under the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve risks and uncertainties and other unknown factors that could cause actual results to differ materially from historical facts or any future results expressed or implied in the forward-looking statements. These statements contained herein are also subject to the risks and uncertainties as described from time to time in the company's reports and registration statements filed with the SEC. Also, please refer to the company's earnings release for information on the factors that could cause actual results to differ. Finally, please note that any forward-looking statement used on today's call cannot be relied upon as current after this date. I will now like to turn the call over to Ed Rosenfeld, Chairman and CEO of Steve Madden.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Jean. Good morning, everyone, and thank you for joining us to review Steve Madden's third quarter 2016 results. With me to discuss the business is Derek Browe, the company's Director of Finance and Investor Relations. We are pleased with our third quarter results which exceeded our expectations on both the top and bottom lines. The primary driver of the overachievement to forecast was the outstanding and accelerating performance in our core Steve Madden Women's wholesale footwear division. Strong sell-through we saw in this brand in spring has continued into fall and our key retail customers are responding by shifting more open-to-buy dollars to the Steve Madden brand. Net sales for the Steve Madden Women's wholesale footwear division are now up double-digits on a percentage basis for the year-to-date, an impressive feat given the challenging retail environment and the extreme caution and focus on inventory control on the part of the major retailers. It is clear that the Steve Madden brand is outperforming its competition and taking market share. I also want to point out that this is not just a topline story. The strength of the product in Steve Madden is also driving significant gross margin expansion. Not only at the on-trend assortment enabling us to reduce closeouts and markdown allowances but being ahead of our competition on some new trends including sock booties and velvet which is allowing us to expand our initial markups. Overall our largest and most profitable division is healthier and has better momentum than it has had in a few years. Another brand that continues to see phenomenal trends is Dolce Vita. Dolce Vita recorded another quarter of robust sales and earnings gains driven by an outstanding collection with particular strength in ankle booties and over the knee boots. In addition, we are also very pleased with the momentum we are seeing in our smaller brands in wholesale footwear. Blondo, Betsey Johnson, FREEBIRD and Superga. Each of these brands grew double-digits on a percentage basis in third quarter and is on track to be up double-digits for the year. Again, something we are quite proud of given the state of the overall retail environment. As you can see, our wholesale footwear brand portfolio had a strong Q3. That said, we did see an overall decline in wholesale footwear sales during the quarter, due primarily to not anniversarying a one-time cold-weather capsule collection under our Madden Girl brand as well as to a lesser extent, expected softness in our private label footwear business. If we exclude the one-time Madden Girl program, wholesale footwear sales were up versus the prior year. In wholesale accessories, the business continues to stabilize and improve after experiencing declines at the end of last year and the beginning of this year. This segment also recorded a sales decline in the quarter due to not repeating the one-time Madden Girl program from a year ago. Like wholesale footwear, the wholesale accessories segment had a modest sales increase, if we exclude that program from last year's numbers. Given the industry headwinds we face in this segment, including the soft handbag market and a cold-weather accessories business suffering the lingering effects of last year's record warm winter, we are happy with that result. In our retail business, we are pleased to deliver a seventh consecutive quarter of positive comparable store sales growth. While we experienced declines in sandals and casual boots and booties we made up for it with strong gains in fashion sneakers, dress shoes and dress boots and booties. Overall, we're pleased with the results in third quarter across the business, particularly in light of the ongoing challenges in the retail industry overall. Our brands and our product assortments are strong and we are outperforming the competition. That said, our wholesale customers remain very cautious. Given the tough and uncertain environment, we remain focused on prudently managing our inventory and we are pleased to exit third quarter with extremely clean inventories, down almost 10% compared to the prior year. With that, I will now turn the call over to Derek to review our financial performance for the quarter in more detail.
Derek Browe - Steven Madden Ltd.: Thanks, Ed, and good morning, everyone. Turning to our financial results for the third quarter, consolidated net sales decreased 1.2% to $408.4 million compared to the prior year net sales of $413.5 million. During the quarter, sales growth in the retail business was offset by a modest decline in our wholesale segment. Wholesale footwear net sales decreased 3% to $268.2 million compared to $276.4 million in the prior year. As Ed mentioned, the prior year net sales are now included sales related to the one-time Madden Girl cold-weather capsule collection. Excluding these sales which were $11.5 million in the prior-year wholesale footwear net sales increased 1.2%. The increase was led by the performance of our flagship Steve Madden brand which capitalized on outstanding product assortment and out-performance in categories such as fashion sneakers and dress shoes as well as on the emergence of new trends. As Ed mentioned, we saw particular strength and newness in the dress boot and bootie category and in styles that feature velvet material and we are pleased to be at the forefront of these trends. In addition, we had double-digit growth in Dolce Vita, Blondo, Betsey Johnson, FREEBIRD and Superga. These increases were partially offset by expected softness in our private label business. In wholesale accessories, net sales were $78.4 million in Q3 compared to $80.6 million in the prior-year period. Prior-year wholesale accessories net sales included $3.4 million in sales related to the one-time Madden Girl cold-weather capsule collection. Excluding these sales from the prior-year wholesale accessories had an increase of 1.6% resulting from an increase in our private-label handbag business. In our retail division, net sales increased 9.5% to $61.8 million. Same-store sales increased 1.3% on top of an 11.2% gain last year. In last year's third quarter, the biggest driver of comp improvement was a significant increase in the sandal category. This year sandals were down double-digits but were more than offset with the – we more than offset that decline with strong performance in sneakers, dress shoes and dress boots and booties. During the quarter, we opened four full price stores and three outlet locations and closed one full price store. We ended the quarter with 186 company operated retail stores including 51 outlets and four e-commerce sites. Turning to other income, our commission and licensing income net of expenses was $5.4 million in the quarter versus $6.6 million in last year's third quarter. The decrease relates primarily to commission income which was down to the reduction of first-cost business with certain private label footwear customers. Our consolidated gross margins expanded by 180 basis points to 37.8% compared to 36% in the prior year driven by an increase in wholesale footwear gross margin which was 33.8% for the quarter compared to 31.4% in the prior year quarter. As Ed mentioned, the improvement was driven by lower markdown allowances and closeouts as well as the benefit of higher margins on the new trends. Wholesale accessories gross margin was 34.3% down modestly compared to 34.6% last year, due to sales mix. Retail gross margins were 59.9% compared to 60.4%, the decrease in our retail gross margin was driven by our foreign locations which were impacted by the continued strength of the US dollar. These locations purchased the vast majority of their inventory in US dollars and as such their cost of goods sold increase as a percentage of sales. Operating expenses for the quarter increased to $96.1 million or 23.5% of net sales compared to operating expenses of $89.1 million or 21.6% of net sales in the same period last year. The increase in operating expense relates to new retail locations, bonus accruals, advertising and cost from our new joint venture in Europe. Operating income for the quarter totaled $63.8 million or 15.6% of net sales compared to last year's third quarter operating income of $66.3 million or 16% of net sales. Our effective tax rate for the quarter was 32.3% compared to 34.1% in the same period last year and net income for the quarter was $43.8 million or $0.74 per diluted share compared to $42.9 million or $0.70 per diluted share in the third quarter of 2015. In Q3, as we've previously discussed, we early adopted a new accounting standard that changes how we account for the tax benefit of stock-based awards provided as compensation. The accounting standard requires that excess tax benefits and deficiencies which result from differences between book and tax treatment of stock-based compensation, be recorded as part of income tax expense rather than as part of additional paid in capital in the shareholders equity section of the balance sheet. Early adoption of the new (10:49) guidance required us to reflect the adjustments as of January 1st, 2016. As such our year-to-date results reflect the impact of the adoption as of January 1st, 2016 and not only reflect the benefit we received in Q3 of $83,000 but also include the benefit received in Q1 of $3,698,000 and the benefit in Q2 of $65,000. Further in connection with the adoption, the company has adjusted diluted shares outstanding to 60,252,690 shares for the three months ended March 31, 2016 and 59,739,120 shares for the three-month period ended June 30, 2016. With these changes reflected, our Q1 diluted earnings per share is $0.39 and our Q2 diluted earnings per share is $0.41. Full disclosure of the impact will be included in our third quarter 10-Q. We continue to have a strong balance sheet. As of September 30, 2016, we had a $183.5 million of cash and marketable securities and no debt. Inventory decreased 9.5% to $112 million compared to $123.8 million in the prior year. We are pleased with not only the level, but the content of our inventory position, as we continue to very closely manage our inventory due to the challenge – continued challenges in the industry, while maintaining levels and assortment that will enable us to meet our sales goals. CapEx for the quarter was $4.5 million and during the quarter we repurchased approximately 737,000 shares for approximately $25.3 million. This includes shares acquired through the net settlement of employee stock awards. Turning to guidance, for the full year, we continue to expect that net sales growth will be 0% to 1%, but now expect the diluted EPS will be in the range of $1.98 to $2.03. Now, I'd like to turn it over to the operator for questions.
Operator: Thank you. And we'll go first to Erinn Murphy with Piper Jaffray.
Erinn E. Murphy - Piper Jaffray & Co.: Great. Thanks. Good morning. Ed, I guess I had a question for you, you mentioned in your prepared remarks that open-to-buy dollars are shifting towards the Steve Madden brand now, when did you start seeing that change pick up? And then how do you think retailers are approaching just the overall open-to-buy dollars in the footwear segment you compete in versus the pure play athletic players as you think about the fourth quarter?
Edward R. Rosenfeld - Steven Madden Ltd.: Good morning, Erinn. In terms of open-to-buy shifting to Steve Madden, I think that's been happening all year. As you know Steve Madden Women's also had nice growth sort of mid to high single-digits in the first half, which is outpacing the industry and then that growth is accelerated into the – well into the double-digits in the back half of the year. So, it's something that's been happening all year, but I think it's accelerated. The second part of your question was how are they thinking about open-to-buy dollars, could you repeat that...
Erinn E. Murphy - Piper Jaffray & Co.: Yeah. Sorry, just how are the retailers approaching open-to-buy dollars for – kind of the fashion segment that you guys compete in versus the pure play athletic players in the fourth quarter?
Edward R. Rosenfeld - Steven Madden Ltd.: Still – look we know that the athletic players have been performing well and that open-to-buy dollars for that category have been increasing. So I think that the overall pie for the more fashion players is probably not growing, but we are taking a much bigger piece of that pie and that's how we are driving growth.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then I guess, in terms of your fourth quarter implied sales guidance, what are you guys assuming, in terms of reorders that you need to see from the retailers?
Edward R. Rosenfeld - Steven Madden Ltd.: We've got – we're getting a very healthy level of reorder activity right now because we have the right product that is performing. And so we've obviously baked our assumptions about how that continues into fourth quarter, hard to quantify.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then just the last question on the international side of your business, I think you had a couple of pressure points last quarter, how are the kind of key regions of China, Middle-East kind of faring right now as you have gotten into the third and the back half – third quarter and back half of the year?
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah, I think, if you look at our international business, it's basically very similar to what we talked about last quarter which is that the owned markets, specifically Canada and Mexico as well as our new joint venture in Europe are all performing well and are on plan and we feel good about the trends that we are seeing there. Where we are experiencing declines is in our distributor business and you called out the two major culprits which are Asia and to a lesser extent the UAE. I think those are essentially performing as we expected they would. We knew the orders were going to be down in those regions for the back half as we cleared through some inventory, and hopefully we will be positioned to return to growth in those markets in 2017.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. Got it. And then if I could just sneak one more on the Dolce Vita brand, where are margins now, if that brand has continued to outperform?
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah, Dolce Vita continues to do great. We had another strong quarter of sales growth. Operating margin continues to expand. We are now up to about 15% operating margin there.
Erinn E. Murphy - Piper Jaffray & Co.: Okay, great. I will let someone else hop in. Thank you.
Operator: And we'll go next to Camilo Lyon with Canaccord Genuity.
Camilo Lyon - Canaccord Genuity, Inc.: Thanks. Good morning, guys. Nice job on the quarter.
Edward R. Rosenfeld - Steven Madden Ltd.: Thank you.
Camilo Lyon - Canaccord Genuity, Inc.: So Ed, just stepping back a little bit, if you kind of reflect on what's happened thus far throughout the year your performance at wholesale has been pretty strong yet you've – the wholesalers have been reluctant to really commit to reorders. Do you think that loosened up a little bit in the third quarter? If you could just, without the change in guidance for the full year is there an improvement that's embedded relative to 90 days ago with the fourth quarter reorders or is this kind of the same expectation that you had before?
Edward R. Rosenfeld - Steven Madden Ltd.: We haven't changed the guidance for our fourth quarter materially based on what we're seeing but clearly there has been improvement in the at once business that we are receiving particularly in the Steve Madden brand. If you – again, what we've seen is that initial orders continue to be underwhelming – initial plans continue to be underwhelming but because of the performance, we're getting a lot more replenishment, a lot more reorders, a lot more in season business and that's what's really driving the growth.
Camilo Lyon - Canaccord Genuity, Inc.: Okay. So if that continues well into the fourth quarter, is it correct to think that those reorders should accelerate as time progresses?
Edward R. Rosenfeld - Steven Madden Ltd.: I don't know about accelerate but – if they continue at the rate that we saw in third we would be very pleased with them.
Camilo Lyon - Canaccord Genuity, Inc.: Okay. And then just kind of rolling forward to next year, so coming off of 2016 that has been cautiously ordered pretty much in both fall-winter and spring-summer season. How do you think the early conversations are progressing with respect to initial orders for next year? In other words, will next year be as tough as it is, as this year has been from an initial order perspective or are the retailers understanding and seeing that they have been under inventoried relative to what has been very strong sell-through rates for your brand?
Edward R. Rosenfeld - Steven Madden Ltd.: I don't think it will be as difficult as it was this year because we've got this basically extremely strong year behind our – that we've put up this year in terms of sell-through performance for them. But nevertheless, we want to point out they do remain cautious as we are getting to our initial plans for next year, we do not believe that they're as strong as what our sell-through performance warrants, so we're still pushing them to try to get a little bit more aggressive. We don't think that they're stepping up the way that they have in prior cycles when we've had this kind of performance. But certainly things are moving in the right direction, and we'll keep pushing on them as hard as we can.
Camilo Lyon - Canaccord Genuity, Inc.: Okay. And then just moving on to some of the category commentary, you mentioned something that was interesting about casual booties giving (20:38) some share to dress. If you could just articulate a little bit more of what you're seeing and what that means from a channel inventory perspective and how you're positioned relative to that?
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah. Within the boot and bootie category, what we've seen is the real newness and the strength is in dress boots and booties and lots of newness in that category and we feel great about how we're positioned. We really nailed the trends in that category and on a lot of it, we really think we beat the competition to market with the right products. And so we feel great about our offerings in that part of the boot and bootie category. In terms of casual boots and booties, those are overall for the industry, I would say, spotty. There are some items that are working, but there is a lot of supply in that category and there is not as much newness. And so I would say the performance there is sort of mixed. And if you think about inventory levels in the channel, well, overall inventories in the shoe category I think are better than they were a year ago. If there is a place where they're elevated, I think it's in that casual boot and bootie category. And so we do have to expect a fair amount of promotion in that category in Q4.
Camilo Lyon - Canaccord Genuity, Inc.: Great. And this is my final question, is there anything happening in the fourth quarter that's anomalous to the fourth quarter, maybe some of the impact on your gross margin from the Hanjin bankruptcy or anything that is worthy of a call out?
Edward R. Rosenfeld - Steven Madden Ltd.: I'll let Derek comment on Hanjin, but I think the only thing I would just caution people as they think about their models is, we do – we've called out, when we took our guidance down – our sales guidance down, last quarter we called out private label and international as the culprits. And those impacted us a little bit in Q3. We're actually going to feel more of an impact from those in Q4, particularly in the private label side there is just some timing there. We had some big customers, Walmart being an example, that elected to take product in in early first quarter as opposed to fourth quarter last year. There is a little bit of pressure on the top line in fourth from those factors. But Derek, do you want to address the Hanjin?
Derek Browe - Steven Madden Ltd.: Yeah, I think as we look at Hanjin, in particular the impact, as we look at fourth quarter, we do think that there will be an impact from slightly higher rates. We actually initially thought it was the bankruptcy occurred in some of the rate letters that we were getting and that would be more impactful, but we are pleased that our logistic teams able to push back some of those rate increases. But I think as we look at the fourth quarter we can assume kind of less than $1 million impact from increased rates due to the Hanjin bankruptcy.
Camilo Lyon - Canaccord Genuity, Inc.: Great. Thanks a lot, guys. Good luck and nice performance again.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Camilo.
Operator: And we'll go next to Jay Sole with Morgan Stanley.
Jay Sole - Morgan Stanley & Co. LLC: Great, thank you. Ed, you talked about how the initial orders have been weak, the at-once has been really strong. With inventory down 10%, Derek said that you had the inventory to drive sales, but it seems like retailers are asking brands to hold inventory longer and do more at-once. Do you have – can you really turn the inventory faster to be able to capture the upside going forward, like it seems – like you did this quarter? And what's the key to being able to do that?
Edward R. Rosenfeld - Steven Madden Ltd.: It's a good question. We do have lean inventories, but if you look at the makeup of that inventory, we do think that we have targeted inventory investments in the right categories and in the right products. And if you look at the key items that we think are really good that drive business for us in Q4 and where we can really get replenishment and reorders, reorder business, we think that we do have the inventory in those products. That being said, you know our model here and that is we like to turn the inventory fast and we like to remain lean and we do not – we are willing to sacrifice that last dollar of sales that we could potentially have gotten in order to run with leaner inventory and protect our downside in the margin and we have not changed that policy. So clearly, particularly in this environment where we are getting tons of reorders, could we have – if we had more inventory, could we do a little bit more sales, yes, but we don't think that we will be also taking additional risk and that's not something we are willing to do.
Jay Sole - Morgan Stanley & Co. LLC: Got it. Okay. But then following on to that, so maybe if there is one last order that you choose not to take, the impact on gross margin seems like it's been pretty good – I mean the gross margin 3Q was kind of better than expected. I think we talked last call about maybe 150 basis points of gross margin improvement for the year, which implies 3Q trend kind of it continues to 4Q. Is that still fair – is that fair to think about that or maybe how should we kind of think about just the impact of really strong at-once orders on gross margin in fourth Q?
Edward R. Rosenfeld - Steven Madden Ltd.: I think that is the right way to think about it. It should be in that range that you just mentioned, so similar improvement in Q4 as there was in Q3 or even a little bit better.
Jay Sole - Morgan Stanley & Co. LLC: Okay. And then just lastly, just so we can understand the quarter a little bit better, can you just talk about how it trended from July to August to September in the wholesale business like just the growth rate in the wholesale orders, especially for the Steve Madden brand as you went through the quarter?
Edward R. Rosenfeld - Steven Madden Ltd.: It was improving sequentially as we went through the quarter.
Jay Sole - Morgan Stanley & Co. LLC: Got it. Okay, thank you.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Jay.
Operator: And we will go next to Jessica Schmidt with KeyBanc Capital Markets.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: Hi. Thanks for taking my question. I guess just given some of the better inventory levels in the channel and your ability to pull back on markdowns and clearance activity at wholesale, do you think the environment is getting less promotional? And I guess, how should we be thinking about trends into holiday?
Edward R. Rosenfeld - Steven Madden Ltd.: In terms of overall promotional activity, I do not think it's getting less promotional. It's still promotional out there and as we've talked to our key retailers about their plans for holiday, most have indicated that they are anniversarying very heavy promotions from last year and whether they – they had heavy promotions last year and that they are intending to anniversary those promotions for the most part. So I think we have to continue to expect that we're going to be embedding a pretty promotional environment.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: Great. And just a quick follow-up, I know that trends in private label have been difficult. But can you talk a little bit about fashion sneakers in that channel and if you think these items are starting to resonate and could begin to maybe offset some of the weakness there?
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah, that's a good question, because as you point out whereas boots are down overall as a category in Steve Madden Women's, we have made up for it with categories like fashion sneakers and we've not been able to do the same thing in the private label channel. But we have seen fashion sneakers really start to pick up in that private label channel, really just back-to-school we saw a nice pop there and so we are expecting that to be a much more important category starting in spring 2017 in private label.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: Great. I'll pass it along.
Operator: And we'll take our next question from Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen - B. Riley & Co. LLC: Good morning. I just had a follow-up on the boots and bootie business, just wondering if you can frame your mix of dress versus casual on boots and booties. And then also anything to read into the weather, and I guess, how you're thinking about the anniversary to the extremely unfavorable weather we had last year in Q4?
Edward R. Rosenfeld - Steven Madden Ltd.: Sure. In terms of the mix in boots and booties, casual versus dress, so – if you think about our retail business, our Steve Madden retail stores, and of course, we're talking just about Women's here, last year it was about the ratio of casual to dress was about four to one in the boot and bootie category. This year it will be less than two to one. So, obviously, swinging the pendulum towards dress shoes. In wholesale, if you think about our Steve Madden Women's wholesale business, we're able to swing the pendulum must faster and farther. So last year casual was 90% of the boot and bootie mix and this year it will be about 50-50 in wholesale. In terms of your question about the weather, yeah, obviously, it was very – it was not helpful, but the weather last year was not helpful, record warm temperatures. We hope – and it certainly looks like that it's going to be a little bit better this year and hopefully that will help us particularly in our cold-weather accessories business. But we've not baked any significant improvements in the weather into our guidance.
Jeff Van Sinderen - B. Riley & Co. LLC: Okay. And then if we look at your own retail business, just wondering if there is any regional differences to point out, any, I guess, by bucket of store, type of store, any differences there that you're seeing?
Edward R. Rosenfeld - Steven Madden Ltd.: The big thing, and this is something we've talked about for the last couple of calls, unfortunately, is that our New York City business continues to be weak and that continues to run more than a 1,000 basis points weaker than the rest of the chain, which we attribute primarily to the impact of the tourism impact from the stronger dollar. But that continues to be the big call out there.
Jeff Van Sinderen - B. Riley & Co. LLC: Okay. That's helpful. And then anything – I know it's still early, but anything to talk about yet on colds, the colds plan for next year, or still too early there?
Edward R. Rosenfeld - Steven Madden Ltd.: No, nothing to talk about yet, but we will keep you posted.
Jeff Van Sinderen - B. Riley & Co. LLC: Okay. Thanks very much, and best of luck.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Jeff.
Operator: We will take our next question from Corinna Van der Ghinst with Citi.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Thank you. Hi, guys. My first question was just a follow-up to some of the previous questions that you were asked. The improvement that you guys are seeing in at-once orders, are those concentrated in fashion sneakers, or are you really seeing those across the categories as strengths that you talked about??
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah, it's really across a range of categories, sneakers being one of them but dress shoes, the dress boots and booties, number of different categories.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Okay. And then how are you thinking about average selling prices, just based on this mix that we are seeing with the mix shifting even more towards sneakers, but also dress shoes and are you making any changes to your assortment for spring based on the strength that we're seeing in the fashion sneakers side of the business?
Edward R. Rosenfeld - Steven Madden Ltd.: In terms of the changing the assortment for spring based on the sneakers it's just that we're going to continue to increase the penetration of sneakers that will be even a little bit higher this year than it was last year – excuse me – next year than it was this year for spring. And then in terms of AUR or ASP, yeah, there is continued pressure there. We've had – our AURs have been down a number of quarters in a row due to mix. But, obviously, we've been able to make it up through units.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): And just any changes to your replenishment program on that basis?
Edward R. Rosenfeld - Steven Madden Ltd.: No changes. The only change in terms of replenishment is that we have more products on replenishment now than we've had historically. We're probably up to seven styles or eight styles in Steve Madden Women's that are on replenishment, primarily sneakers and dress shoes.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Okay, great. And then my last quick question was just if you could comment on your performance in the new tier, family channel in the back half of this year, is that kind of in line with your broader wholesale performance that you talked about, or are there any differentiated comments there?
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah. We're very pleased with the performance we're seeing in the family channel in the mid-tier as well.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Great, thanks.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Cori.
Operator: And we'll go next to Sam Poser with SIG.
Samuel Marc Poser - Susquehanna International Group, LLP: Good morning, Ed and Derek. I've got a few questions. First of all, on the SG&A, how should we be thinking about SG&A growth and could you give us some color ongoing and can you give us some color on the cost of the JV in Europe and investments in China for fourth quarter and looking ahead beyond that?
Edward R. Rosenfeld - Steven Madden Ltd.: Derek, do you want to take that one?
Derek Browe - Steven Madden Ltd.: Yeah, I mean for the quarter, Sam, our SG&A was up. We're at 7.8%, we called out the factors that we're doing as you pointed out, one is just the fact that we have a new joint venture, so really you have all the operating costs now consolidated in for that business. So I think that – I think with the inclusion of some of the other items that we pointed out, we are running a little higher than we originally planned for the year. I would say we were looking at 5% growth before, closer to 6% growth for the full year now. So as we look to next year though we will be lapping the inclusion of that joint venture and stuff within our buckets there.
Samuel Marc Poser - Susquehanna International Group, LLP: So you would expect that to moderate – I am sorry.
Edward R. Rosenfeld - Steven Madden Ltd.: Oh, I am sorry. I think you also asked about China. Was that right?
Samuel Marc Poser - Susquehanna International Group, LLP: Yeah. I mean how much investment -
Edward R. Rosenfeld - Steven Madden Ltd.: That business remains a distributor right now. As we've said, we are evaluating alternatives to that business, but there is no change as of now.
Samuel Marc Poser - Susquehanna International Group, LLP: Okay. Thank you. And then within the – within your guidance, given the tax rates sort of have been moving all over the place, what's your full year tax rate that we're looking at right now and what should be sort of – is it 32% is that where we should be on a standard basis going forward?
Derek Browe - Steven Madden Ltd.: I think, Sam, given the impact of the adoption of this new accounting standard, I think we spoke before that the tax rate can be a little bit volatile quarter-to-quarter given when we have shares that maybe vesting that are going to impact the benefit received from the taxes. Having said that, I think what we've kind of laid out is that the biggest benefit if we look back historically has been to our Q1 tax rate because that's when we have a lot of our shares vesting and/or stock related activity. For the full year 2016, I think we are looking at kind of a 30% rate for the year, that would imply that for Q4 we're going to be kind of consistent with where we were at Q3 of a 32% – kind of 32% a bit rate. But again the full year tax rate of 30% is really being impacted by the fact that Q1 had a favorable rate due to the effects of the adoption of accounting standard.
Samuel Marc Poser - Susquehanna International Group, LLP: And should be we see that same kind of tax rate in Q1 of 2017 as well or is it going to equal out?
Derek Browe - Steven Madden Ltd.: I think you should have – I don't know that will be as favorable in Q1 of 2017 as we saw this year.
Edward R. Rosenfeld - Steven Madden Ltd.: Well, let me jump in here. I think the full year rate should be based on what we know today. We think it will probably be in line, but you're not going to be able to forecast quarterly tax rates going forward based on this new accounting standards.
Samuel Marc Poser - Susquehanna International Group, LLP: Okay. Thank you. And then can you give us some idea of what your wholesale footwear and retail comp – wholesale footwear sales assumption and retail comp assumption are for Q4?
Edward R. Rosenfeld - Steven Madden Ltd.: We never provide the comp guidance, despite the fact that you ask on every call. But I'll say that if you're thinking in broad strokes about the segment, the segments I think that will be down low singles in wholesale footwear sales in Q4 based on – primarily what I talked about earlier, which is the pressure from private label and the international distributors will obviously be growing in the branded business in Q4. And then wholesale accessories, we've been running approximately flat there the last couple of quarters. We were down a little bit in Q3, but that was because of not anniversarying the Madden Girl program. So we should still, I think, look at that as being approximately flat for Q4. And then retail sales growth in total should be in line with what it was in Q3. I think we're up 9.5% in total and that's a reasonable number to look at for Q4.
Samuel Marc Poser - Susquehanna International Group, LLP: Okay. Thank you very much, and good luck.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Sam.
Operator: And we'll go next to Scott Krasik with Buckingham Research.
Scott D. Krasik - The Buckingham Research Group, Inc.: Hey guys, good job in a tough environment.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks Scott.
Scott D. Krasik - The Buckingham Research Group, Inc.: So a lot of my questions have been answered. Just wondering couple of things. Number one, do you guys have a view on potential changes in apparel fashion, bottoms fashion in particular, and do you think that's going to have a material impact on spring 2017 footwear sales?
Edward R. Rosenfeld - Steven Madden Ltd.: Look, I don't think we have any special insight into that. Clearly, there has been a lot of talk about an improvement in the denim cycle and what I will say is that if that continues and comes to pass in the way that some people are talking about, that's definitely a good thing for us. We're obviously, at the Steve Madden, we are very denim friendly brand and to the extent girls are wearing more denim and perhaps a little bit less active wear. We view that as a positive trend for us.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And then your comments in wholesale, your dress booties are roughly equal to your casual booties, does that suggest that you really de-risk the potential amount of markdowns, you expect to see given the trends in dress booties?
Edward R. Rosenfeld - Steven Madden Ltd.: Yes. I think that we were ahead of that and I feel pretty good about how we've managed the exposure there.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Good. And then you're in a lot of different channels, some participate in price matching, some don't, some are more sophisticated about it than others. Maybe talk about what you are doing to minimize that and is that an opportunity next year?
Edward R. Rosenfeld - Steven Madden Ltd.: Yeah, price matching is certainly a challenge for folks like us, so there are a number of tactics that we try to employ to minimize the impact. One is doing some exclusive product for various retailers and selling sort of different versions of the same trend to some retailers so that we can avoid some of the price matching. Obviously when it comes to Amazon marketplace, we've tried to police that and cracked down and in some cases or in many cases stopped shipping some of the smaller independents who were on the marketplace and were sometimes marking products down which would lead to price matching. So it's a constant battle but it's something we are working very hard at.
Scott D. Krasik - The Buckingham Research Group, Inc.: So are you doing all those things and you're accelerating them?
Edward R. Rosenfeld - Steven Madden Ltd.: We are.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And then just – I missed it, why were the retail gross margins down this quarter?
Edward R. Rosenfeld - Steven Madden Ltd.: So the domestic margins were flat. So they were – in the U.S. business, we were flat to a year ago and it was same level approach in flat margin, but in the international locations, we were impacted by the stronger dollar. Of course, these guys buy almost all their inventory in U.S. dollars and then sell in the local currency and so there is pressure on the margins in those locations, international locations.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And then just last. Any hindrance to you guys comping positively next year if the fashion stays relatively consistent just given the multiyear comparison?
Edward R. Rosenfeld - Steven Madden Ltd.: No, I think, look, we've got probably some more challenging comparisons than some others. But I think that we've got nice momentum and the brand is strong and I would like to think we are going to comp positively again in 2017.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Awesome. Thanks guys.
Operator: And we'll go next to Steve Marotta with C.L. King & Associates.
Steven L. Marotta - C.L. King & Associates, Inc.: Good morning, Ed and Derek. Just asking one of the questions a little differently as it pertains specifically to spring of 2017, and I know you're not giving 2017 guidance. Can you comment, in your opinion, you open-to-buy dollars within the wholesale channel and whether that's increasing, decreasing or remaining flat with a year ago?
Edward R. Rosenfeld - Steven Madden Ltd.: Well, I still think the initial plans are going to be fairly tight. Initial orders are going to be conservative. I think that we are in a better position to take share and we are in a better position to get a good chunk of those orders relative to others. But if you are looking at overall initial orders or initial plans, I don't expect that they are going to be up meaningfully if at all.
Steven L. Marotta - C.L. King & Associates, Inc.: Okay. I would assume you just said flattish.
Edward R. Rosenfeld - Steven Madden Ltd.: I guess so.
Steven L. Marotta - C.L. King & Associates, Inc.: Yeah, of course. The other question I had pertains to the costing environment with the exception, of course, of shipping in the near-term. Can you talk a little bit about what you are hearing from the sourcing standpoint in the near term and intermediate term sort of leading into spring?
Edward R. Rosenfeld - Steven Madden Ltd.: Really not a big change, either up or down, things are pretty much status quo on the sourcing front.
Steven L. Marotta - C.L. King & Associates, Inc.: Very helpful. Thank you, very much.
Edward R. Rosenfeld - Steven Madden Ltd.: Thanks, Steve.
Operator: And it appears there are no further questions at this time. I would like to turn the conference back to management for additional or closing remarks.
Edward R. Rosenfeld - Steven Madden Ltd.: Great. Well, thanks very much to all of you for joining us on the call today. And we look forward to speaking to you on the fourth quarter call. Have a great day.
Operator: This does conclude today's conference. We thank you for your participation. You may now disconnect.